Operator: Good day, ladies and gentlemen. Welcome to Revlon's fourth quarter and year ended 2011 earnings conference call. (Operator Instructions) I would now like to turn the call over to Ms. Elise Garofalo, Revlon's Senior Vice President, Treasurer, and Investor Relations.
Elise Garofalo: Good morning everyone, and thanks for joining today's call. Today we released our results for the year and the fourth quarter ended December 31, 2011. If you have not already received a copy of the earnings release, you can obtain one on our website at revloninc.com. On the call with me this morning are Alan Ennis, Revlon's President and Chief Executive Officer; Chris Elshaw, Chief Operating Officer; and Steven Berns, Chief Financial Officer. Before I turn the call over to Alan, I'd like to remind everyone of a few things. First, our discussion this afternoon might include forward-looking statements, which are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act. Information on factors that could affect the company's results from time-to-time and cause them to differ materially from such forward-looking statements is set forth in the company's filings with the SEC, including our 2011 Form 10-K, which was filed today. Next, our remarks today will include a discussion of the following non-GAAP measures. Adjusted EBITDA, free cash flow and the provision for income taxes, excluding the non-cash tax benefits discussed in our earnings release. These non-GAAP measures are defined in the footnotes to our release and are also reconciled to their most directly comparable GAAP measures in the financial tables at the end of our release. And finally, as a remainder, our discussion this afternoon should not be copied or recorded. With that, I'll turn the call over to Alan.
Alan Ennis: Thank you, Elise, and good morning everyone. The execution of our business strategy in 2011 has enabled us to achieve significant progress. Guided by our strategic goal of profitably growing our business, we are focused on executing our business strategies, specifically to build our strong brands, develop our organizational capability, drive our company to act globally, increase our operating profit and cash flow and improve our capital structure. So let me discuss some of the notable achievements in 2011 under each element of our business strategy. First, building our strong brands. From a topline perspective, we grew net sales in 2011 by 4.5% in the phase of continued uncertain economic conditions. We placed continued emphasis on innovation, effective brand communication and strong in-store execution. From a marketplace perspective, we introduced a number of innovative high-quality consumer preferred products across our entire portfolio, including Revlon ColorBurst Lipgloss, Revlon Top Speed Nail Colors and Almay Intense i-Color Smoky-i Kit. We also added the Sinful Colors brand to our portfolio, which has performed very well in the marketplace. In addition, we signed two of Hollywood's most sought-after actresses, Emma Stone and Olivia Wilde, as global brand ambassadors for our Revlon brand. Both of who, we believe will help us to continue to build meaningful connections with consumers. The next element of our business strategy is to develop our organizational capability. We significantly strengthened the capabilities of our leadership team this year through a number of key appointments. Xavier Garijo, joined as Chief Supply Chain Officer, and brings broad experience in the consumer product space, having served in key leadership roles at top consumer products companies. Xavier replaces Art Franson, who retired in 2011. Through Xavier's leadership we are focused on more effectively globalizing our supply chain. Lauren Goldberg, joined as General Counsel, bringing over 20 years of broad legal experience to our team. Lauren has assumed the role from Bob Kretzman, who very capably led the legal function for over a decade. Bob remains in the role of Chief Administrative Officer and continues to be a key member of our leadership team. Also this year, we strengthened our marketing organization and our processes under the leadership of our Chief Marketing Officer, Julia Goldin, who has just completed her first full year with us. Julia was recently recognized as the New Comer of the Year by Women's Wear Daily, a formal honor in the marketplace, and recognizing the accomplishments that we have delivered with our brand. These individual complement a highly capable team, which is focused on achieving our strategic objective of profitably growing our business. The third element of our business strategy is to continue to drive our company to act globally. This guides how we think, plan and act across all of our brands and regions. We are leveraging our brand positioning, our portfolio planning process and our brand communication plans on a global basis. We are also focused on improving our operating efficiency through many activities including global supply chain management, which again delivered improved inventory turns in 2011. The last two elements of our strategy are to increase operating profit and cash flow and to improve our capital structure. In 2011 we increased profitability achieving adjusted EBITDA of $266 million and operating income of $203 million. We sustained highly competitive operating income and EBITDA margins. We achieved our fourth consecutive year of positive free cash flow and we improved our capital structure by refinancing our credit agreements, which lowered our cost of borrowing and extended maturities. Additionally, in April 2011, our credit rating was upgraded by Moody's. So with that, let me hand it over to Chris, who will take you through our marketplace performance.
Chris Elshaw: Thank you, Alan, and good afternoon, everyone. Today I will review our net sales performance excluding the impacts of changes in foreign currencies by region and by brand. Total company net sales in 2011 were approximately $1.4 billion, an increase of 3.3% versus 2010. This increase was primarily driven by the inclusion of the net sales of Sinful Colors and higher net sales of Revlon and Almay color cosmetics, as well as Revlon ColorSilk hair color. These increases were partially offset by lower net sales of Revlon beauty tools and lower net sales in Venezuela due to the June 2011 fire, which destroy our facility there. From the regional standpoint, in the United States, net sales increased $28.3 million or 3.9%, primarily due to the inclusion of the net sales of Sinful Colors, plus higher net sales of Almay color cosmetics and Revlon ColorSilk hair color. These increases were partially offset by lower net sales of Revlon beauty tools and Revlon color cosmetics. Net sales in the U.S. region grew in 2011, excluding the results of Sinful Colors. Let me take a moment to address the fourth quarter net sales performance in the U.S. In the U.S. net sales decreased in the fourth quarter by $9.4 million or 4.7% driven primarily by lower net sales of Revlon color cosmetics, which were partially offset by higher net sales of Almay color cosmetics and Revlon ColorSilk hair color, plus the inclusion of Sinful Colors. Higher returns expense and higher promotional allowances resulted in lower net sales of Revlon color cosmetics. Both returns and promotional allowances are accounted for as reductions in arriving at net sales. Higher returns were primarily driven by two factors. First, recycling the lower returns expense noted in our 2010 fourth quarter results. Second, we had higher returns expense in the quarter due to a higher number of product discontinuations as compared to the same period last year. This increase in discontinuations was driven by the breadth and the scope of our 2012 new product introduction. With respect to higher allowances in the fourth quarter of 2011, promotional allowances formed a greater part of our brand and support mix as compared to the same period last year. We monitor and refine the balance between advertising and promotion on an ongoing basis in order to ensure we're supporting our brands with appropriate levels and mix of brand support. As a reminder, in addition to returns and allowances, there are a number of other factors that can affect net sales from quarter-to-quarter including new product introduction, advertising, promotional activity, competitive environment consumer behaviors and retail strategies. So as we often note, it is best to review our performance overtime. Further, with respect to the U.S. on a full year basis recurrence expenses was not a driver positively nor negatively of our net sales performance year-over-year. Now let me return to our discussion of full year 2011 results outside of the U.S. In Asia Pacific, net sales increased $8.4 million or 4% primarily due to high net sales of Revlon color cosmetics in China and certain distributor markets, partially offset by lower net sales of Revlon color cosmetics in Australia and Japan. Economic uncertainty negatively impacted the retail marketplace in Australia and Japan this year although we continue to see growth in both China and certain distributor markets. Moving on to Europe, Middle East and Africa, net sales increased $4 million or 2%, primarily due to high net sales of Revlon color cosmetics in South Africa and certain distributor markets, partially offset by low net sales initially. In Latin America, net sales increased $4.6 million or 4.3%. This increase was primarily due to high net sales of Revlon color cosmetics throughout the region and higher net sales of other beauty care products in Argentina. These increases were partially offset by low net sales in Venezuela where the company had not fully resumed business since the June, 2011 fire. In Canada, net sales decreased $2.3 million or 3.1% primarily due to lower net sales of Almay color cosmetics, a highly capable Canadian leadership team is focused on improving our business in the region including refining our brand support mix and optimizing in-store execution across all of our customers. Now moving on to our performance by brand, starting with Revlon color cosmetics, total company net sales increased as compared to the prior year. 2011 benefited from a number of new product introductions and positive performance of our successful PhotoReady, ColorBurst, and Nail Color franchises. We continue to innovate and have recently introduced a number of new products which are supported by a new advertising campaign. In the face segment, we extended the Revlon PhotoReady franchise with the addition of PhotoReady Airbrush Mousse Makeup which goes on lights as air and contains innovative photochromatic pigments that bend and reflect light to give a flawless, airbrush appearance. In the eye segment, we introduced PhotoReady 3D Volume Mascara, revolutionary volumizing mascara with a unique reflection formula that makes lashes look a 100% more magnified and multiplied. These new Revlon PhotoReady offerings are early in their launch and we look forward to continue positive performance from this franchise. Continuing in the eye segment, Revlon ColorStay has been a leading brand in our core Eyeshadow offering over the years. Building upon its success, we restaged and upgraded our Revlon ColorStay Eyeshadow Quad 16-hour wear and new premium design of packaging. This new shadow offers impactful, long-wearing color in both the hottest runway inspired and classic shapes. This restaging is consistent with our approach of not just expanding our product range but also strengthening our existing products with new technology. In the lip segment, extending our Revlon ColorBurst franchise, we introduced Revlon ColorBurst Lip Butter. A buttery balm that's instantly hydrates lips while providing color with a high shine finish. Studies shows that 94% of women who use this product, there lips were softer, smoother and instantly hydrated. To date our ColorBurst Lip Butter, has being very well received in the marketplace. The ColorBurst franchise is fairly new, only just created in 2009 and we are very proud to have built this strong franchise with new product successes and innovation over the past few years, including ColorBurst lipstick and ColorBurst Lipgloss. Lastly in the nail segment, we introduced ColorStay Longwear Nail Color containing our exclusive ColorStay light curing technology which cures in natural light versus the sullen UV light, providing a gel-like shine and 11 days of high-impact color. Also worthy of note, Revlon Top Speed Nail Color are advanced fast drawing line of nail color that sets in 60 seconds, was one of the leading new nail products in the U.S. marketplace in 2011. Across all of our nail franchises, we continue to expand our product support portfolio and provide a fashion-forward, on-trend shade offering. Three focus on building our strong brands. We are very pleased with our ability to reinvigorate core franchises like ColorStay and Revlon Nail Color as well as introduced and successfully establish new franchises like Revlon ColorBurst and Revlon PhotoReady. Moving on to the Almay brand, net sales of Almay increased year-over-year. Our Intense i-Color franchise benefited from the introduction of Intense i-Color Smoky-i Kit in 2011 which delivered very strong performance. Building up on the formula on packaging innovations behind Smoky-i we have extend the franchise with the introduction of Intense i-Color Satin-i and the Shimmer-i Kits. These new products help consumers create a desired eye look with ease. We have also introduced Almay Intense i-Color Shadow Stick, the first non-greasing, dual-ended shadow stick from Almay, containing highly saturated pigments of fiber-rich color in expertly coordinated shades. In the face segment, under our Smart Shade franchise, we introduced Almay's first primer called Smart Shade Perfect and Correct, which instantly brightens and color correct skin, defusing in perfections and leaving skin softer, smoother and up to two and a half times more hydrated. In women's hair color, net sales of Revlon ColorSilk increased year-over-year. During 2011, we expanded distribution of ColorSilk including ColorSilk Luminista in a number of markets outside the U.S. Building on this success we have introduced Root Erase by ColorSilk which erases roots and grays with ease for beautiful, seamless color in 10 minutes. This product features our unique ColorSilk Precise Control sponge applicator, ensuring a precise mess-free application. In antiperspirant deodorants, net sales of Mitchum increased year-over-year behind the launch of Mitchum Control and our Revlon beauty tools business continues to perform well even in the phase of softer demand in the category overall. Revlon beauty tools is the number one brand in the U.S. and Canada And finally, I'd like to know that we were active in the fall/winter 2012 fashion week in New York over the past week and has similar trends for London. Our participation in these activities highlights our new products and not only on-trend but that we established and set the trends. Now I will turn it over to Steven to walk you through the rest of our financial results.
Steven Berns: Thank you, Chris. As we have already discussed our net sales performance all begin with gross margin performance for the year. Our gross margin in 2011 was 64.3% versus 65.5% in 2010. Gross profit in the 2011 period was unfavorably impacted by product mix and higher promotional allowances, partially offset by the favorable impact of foreign currency fluctuations and lower pension expense within cost of sales. SG&A increased $18.9 million in 2011 to $685.5 million due to higher general and administrative expenses and the unfavorable impact of foreign currency fluctuations. These higher expenses were partially offset by the benefit of business interruption insurance recoveries associated with the fire that destroyed our Venezuela facility. These recoveries essentially made us financially hold for both cost incurred and estimated loss profits through December 2011. Operating income for 2011 was $203.3 million compared to $199.8 million and adjusted EBITDA was $266 million compared to $260.4 million for 2010. Interest expense decreased $5.6 million to $91.3 million this year primarily due to the May, 2011 refinancing of our term-loan credit facility at lower interest rates. Income from continuing operations before-income taxes was $89.6 million as compared to $79.8 million in 2010. The provision for income taxes was an expense of $36.8 million at 2011. There were two components to this years tax provision, first income tax expense of $53.7 million and second a non-cash tax benefit of $16.9 million. The non-cash tax benefit is a result of the reduction in our deferred tax valuation allowance in certain markets outside the United States. As a reminder, last year we had a reduction into deferred tax valuation allowance in the United States of $260.6 million which benefited our reported provision for taxes in 2010. It is important to note that these reductions in our deferred tax asset valuation allowances have no impact on the company's cash taxes paid, cash flow or its liquidity. In 2011, cash paid for income taxes was $20.5 million as compared to $16.2 million in 2010. Net income for 2011 was $53.4 million or $1.02 per diluted share compared to net income of $327.3 million or $6.26 per diluted share for 2010. Operating income, income from continuing operations before-tax and net income included pre-tax charges of $11.2 million in 2011 associated with the refinancing of the company's credit facilities. In 2010, the same P&L line items included pre-tax charges of $9.7 million associated with the March 2010 refinancing. Moving on to cash flows, net cash provided by operating activities for 2011 was $88 million compared to $97.2 million. And free cash flow was $74.4 million compared to $82.3 million. Cash flow in 2011 included higher cash paid for permanent cabinetry, interest and pension contributions as compared to 2010. Favorable changes in other working capital partially offset these higher cash uses. Now let me take a moment to update you on our situation in Venezuela. As we have previously stated, our facility in Venezuela was destroyed by a fire in June, 2011. Our subsidiary in Venezuela represented approximately 2% of the company's consolidated net sales in 2011 and 3% in 2010. As of December 31, 2011 Revlon Venezuela had not fully resumed business following the June, 2011 fire. Prior to the fire approximately half of the net sales in Venezuela were sourced from our local production facility and the other half was imported from our U.S. manufacturing facility. In August of 2011, we resumed shipments to Venezuela and customers are product imported from our U.S. facility. Actions to address the sourcing of products previously manufactured locally remain under review at this time. Additional details of the financial impact of the Venezuela fire and its impact on our business are included in today's earnings release and the company's form 10-K for 2011. Moving to the P& L for the fourth quarter 2011, my commentary on net sales will exclude the impact of changes in foreign currencies. Net sales in the fourth quarter of 2011 were $359.8 million, essentially unchanged year-over-year. In the United States, net sales decreased $98.4 million or 4.7% as Chris discussed earlier in this call. In Asia Pacific net sales increased $1.4 million or 2.3% driven by higher net sales of Revlon color cosmetics in China and certain distributor markets, partially offset by lower net sales in Australia. In Europe, Middle East and Africa, net sales increased $4 million or 7.1% primarily due to higher net sales of Revlon color cosmetics in South Africa and certain distributor markets. Next, in Latin America, net sales increased $1.5 million or 5%, this increase was primarily due to higher net sales of Revlon and Almay color cosmetics and Revlon ColorSilk hair color throughout the region as well as higher net sales of other beauty care products in Argentina. These increases were partially offset by lower net sales in Venezuela whereas I previously stated the company had not yet fully resumed since the June, 2011 fire. Lastly in Canada, net sales decreased $400,000 or $1.9% primarily due to lower net sales of beauty tools and other beauty care products partially offset by higher net sales of Almay color cosmetics. Moving on to operating income for the fourth quarter, operating income was $66 million compared to $67.8 million and adjusted EBITDA was $81.7 compared to $83.3 million in the same period last year. Operating income and adjusted EBITDA in the fourth quarter of 2011 were negatively impacted by lower gross profit, partially offset by lower SG&A. SG&A expenses decreased versus the prior year primarily due to lower advertising expenses and the benefit of business interruption insurance recoveries related to the fire of Venezuela. Interest expense decreased $2.9 million to $21.8 million in the fourth quarter of 2011. The provision for income taxes was an expense of $4.4 million in the fourth quarter of 2011 as compared to a benefit of $256.4 million in the same period last year. Excluding the non-cash tax benefits discussed earlier of $6.9 million in 2011 and $260.6 million in 2010. The provision for income taxes in the fourth quarter of 2011 was an expense of $21.3 million as compared to an expense of $4.2 million in 2010. Net income in the fourth quarter of 2011 was $36.4 million or $0.70 per diluted share compared to $296.2 million or $5.66 per diluted share in the same period last year. Turning now to cash flow. Operating cash flow in the fourth quarter of 2011 was $67.8 million to $47.2 and free cash flow was $63.6 compared to $43.5 million in the same period last year. Favorable changes in working capital were partially offset by higher permanent cabinetry spending as compared to the fourth quarter of 2010. On the liquidity front, our unutilized borrowing capacity and cash on hand as of December 31, 2011 was $228 million comprised of $100.7 million of available cash and $127.3 million available under our revolving credit facility. Our revolving credit facility was undrawn at yearend and we had $11.1 million of standby letters of credit issued under this facility. Moving on to 2012. Let me update you on several factors that we expect to impact our 2012 financial performance. Consistent with our historical practice, I will provide you with our expectations regarding certain 2012 cash flow information. Capital expenditures are expected to be approximately $25 million. Permanent display expenditures are expected to be approximately $40 million. Pension plan contributions are expected to be approximately $35 million. Cash interest expense can be estimated by reference to our public filings, which detail the composition of our capital structure as well as the applicable interest rates. And lastly, cash paid for income taxes is expected to be approximately $20 million. This concludes our prepared remarks and we would now like to open up the call for questions. Operator, please prompt the participants for questions.
Operator: (Operator Instructions) And we'll go first to Carla Casella from JPMorgan.
Carla Casella: I had two questions, one is, could you just talk about the European environment, if you're seeing any stabilization or still weakening in which countries there?
Chris Elshaw: In Europe as you know we have some major markets as far as in U.K. and South Africa, and there we have a number of distributor markets. So I mean, all that we see through those markets is what you will see reading in the press day and day out. There is no special category for cosmetics that's doing particularly differently. We are not highly exposed to some of the markets, which are having the most difficult times. Meanwhile, we do see some slow growth in some places, but we're very focused on executing our plan.
Carla Casella: And then, just from a capital structure standpoint, I mean, your bonds are callable next year. I guess, what is your view in terms of optimal capital structure? Do you view these as expenses that you would want to take out of the first opportunity or how are you looking about that? Are you thinking about the refinancing next year or leaving them outstanding?
Steven Berns: We look at our capital structure all the time and make sure that we are able to have the right capital structure to execute the business strategy. And so consistent with Alan's comments earlier in his opening remarks and as we've said in the past, part of our strategy is to have a capital structure, which enables the operations to perform. And so we don't have a special look at any particular instrument. We're well aware of the features and the provisions of each and we monitor them.
Operator: And the next question comes from David Wu from Telsey Advisory Group.
David Wu: First, in the U.S. any trends you could call out perhaps between sellout rates across your channels, whether your mass retailers or drugstores?
Chris Elshaw: We haven't seen any change in the last course for the trends that we've seen throughout the year. The cosmetics category in the U.S. had continued to be showing reasonable growth and that continued in the fourth quarter. Although, started to slowdown slightly towards the end as ever competition remains intense in that category, not only between ourselves and our competitors, but between our customers.
David Wu: And would you say the environment in the U.S. as well as in Europe got more promotional? And what are your expectations for 2012?
Chris Elshaw: The environment has always been intensely promotional in the U.S. I don't see in the last quarter any sign about changing. And I don't know rather that would change in the short term.
Alan Ennis: I think what you see, David, is just to build upon that, as you see overtime, both retailers and manufacturers optimizing their mix of brand support between advertising and promotional spending depending on what they see in the marketplace. So quarter-to-quarter those events will fluctuate, but the basis of competition hasn't really changed.
David Wu: In terms of ad spending, could you quantify at all how much of the ad spending did decline in the quarter? And maybe perhaps talk about how you're planning for FY '12?
Alan Ennis: In terms of ad spending, we don't talk specifically on a quarterly basis. What I will tell you is that we spent what we believe to be at a competitive level in 2011 across the entire portfolio and across the entire suite of opportunities to spend. And I will tell you that we will continue to do same in 2012.
Operator: And we'll go next to Connie Maneaty from BMO Capital.
Connie Maneaty: I think you said in your prepared remarks that part of the reason U.S. sales were down, part of the reason that there was a high level of returns, and allowances was to clear the way for the new product introduction for 2012. But everything you mentioned I think has already been put on store shelf. So what exactly were you referencing with that comment?
Alan Ennis: So, Connie, as you know, in the U.S. marketplace the new products for the following year are shipped in the fourth quarter and hence the returns are associated with those shipments. Now, in amongst those shipments were two groups really, one was a normal ribbon of innovation, which you know is significant in this category. The second this is we also restaged some core products, which are ongoing core products, which you wouldn't normally be shipping as a new product, sort of as a hard launch in that period. But because they were restages on Revlon ColorStay quads for example and Revlon core nail, hence they attracted returns because of that.
Connie Maneaty: On an annual basis, since we don't have the actual sales dollars for Sinful Color that we've estimated, but it looks to us that on an annual basis U.S. sales organically declined about 2.5% in 2010 and maybe 1.5% in 2011?
Alan Ennis: Well as I mentioned in my remarks, Connie. Net sales in the U.S. region in 2011 grew excluding the results of Sinful Colors.
Connie Maneaty: So then on an organic basis, do you think the U.S. business has turned a corner such that you're on a path now to annual sales growth?
Alan Ennis: Well, Connie, we never as you know give guidance. And neither do we say that one quarter establishes a trend. As always we're focused on the same drivers of success. We're focused on that product portfolio, having the right advertising promotion support and executing well in store, and we continue to be focused on those things.
Connie Maneaty: I know you don't talk anymore about your market share data. But the market share data for the last quarter in face and eye makeup showed declines of about 140 basis point. What should we factor that in to what the U.S. decline was? Why shouldn't that be a consideration?
Alan Ennis: Well, as you know Connie, one of the reasons we stopped talking about the market share data was its partial market share data. It doesn't cover Wall Mart who is everybody's biggest customer in the mass market business. So that was why we stopped talking about it. In terms of the category, one thing which I think you will have seen is that the nail segment exploded. And that did change the shape of the overall category in 2011.
Connie Maneaty: In Venezuela, how long do the insurance proceeds continue?
Steven Berns: The insurance proceeds, Connie, they continue into 2012. But at this point in time we are just in discussions with our insurer. And as we said the 10-K has all the detail about its impact on '11. But we haven't predicted what the impact will be on '12.
Connie Maneaty: And are you subject to any of the price cap in Venezuela that the government is trying to impose?
Chris Elshaw: Color cosmetics isn't on that list as it stands today Connie. Deodorants are, but that's not a material impact for us.
Connie Maneaty: One last thing, why is CapEx going from $14 million this year to $25 million next year?
Alan Ennis: A couple of things. One of the things that we are focused on is driving efficiencies in some of the processes that are pretty manually intensive today. And as I mentioned in my prepared remarks, we've bought a new Chief Supply Chain Officer on board towards the back half of 2011. And I've had some very in-depth discussion with him about where we can deploy some additional capital to automate certain processes that are manually intensive today. And so the capital investment is really designed to get ferret out those efficiencies and create a better cost profile going forward.
Connie Maneaty: Did you spend in 2011 up to what you had budgeted in CapEx?
Alan Ennis: No. We had a plan to spend about $20 million and we spent about $15 million.
Connie Maneaty: Does that just mean that some projects were delayed into 2012?
Alan Ennis: Well, there's a variety of things. Some projects that you plan to execute don't happen for a variety of reasons. There was no real overt action that we took to influence that. But certainly some of those projects that were approved will happen in '12.
Operator: And it appears there are no further questions at this time. Mr. Ennis, I'd like to turn the conference back to you for any additional or closing remarks.
Alan Ennis: Thank you all for joining our conference call. As I mentioned and as you have heard, we are strengthening our brands, we're investing in our people and we're improving our financial profile. Our focus in 2012 will be to build upon the solid foundation and competitive margin structure that we've established. Importantly, I'd like to express my sincere appreciation to all of our employees around the world for our many accomplishments in 2011. And look forward to speaking to you all, when we report our first quarter 2012 results. Thank you.
Operator: That concludes today's presentation. Thank you for your participation.